Isabel Troya: Good afternoon, everyone, and welcome to Logista's First Half 2024 Results Presentation. I'm Isabel Troya, Head of IR for Logista. And today, Pedro Losada, our CFO, will walk you through the results obtained during the period. At the end of the presentation, we will have a Q&A session in which we will answer the questions submitted through the platform. You may write your questions at any time during the presentation. Now Pedro will go through the highlights of the period. Pedro, if you may, we can proceed with the results.
Pedro Losada: Thank you, Isabel, and good afternoon to everyone connected today for our results presentation. I would like to start the presentation by going through the main highlights for the period. During the first half of 2024, we have obtained a solid set of results, thanks to the growth of different business lines to the profit on inventory recorded for the period and the evolution of the interest rates. We have continued our progress in relation to our diversification strategy, maintaining the ratio of non-tobacco related economic sales higher than 50%.As you may recall, last August, we renewed our credit line agreement with Imperial Brands. And now we have signed a further amendment to partially hedge the potential interest rate risk for the next 3 years. And I would like to mention our ESG commitment, highlighting new targets established for the period 2024, 2026 on sustainability matters. In the following pages, I will give you further details on these main highlights. Looking into our results, despite the adverse macroeconomic environment we have had during the period where inflation has remained high, affecting growth expectations, Logista has obtained sound results in its main indicators. Economic sales has recorded a 4% increase year-on-year, up to a total of €867 million. In relation to this split per area, Iberia reached economic sales of €569, Italy reach €190 million and France €111 million. As per the adjusted EBIT, it recorded an increase of 5% up to €193 million. I would like to mention that the year-on-year adjusted EBIT growth, excluding the profit on inventory, is fully aligned with our guidance of mid-single digit excluding inventory revaluation reaching 5% for the first 6 months of the year. Net Profit has reached €160 million which is 27% against the first half of 2023. It is worth highlighting to relevant items of our P&L account for the period, a €25 million profit on inventory and a financial income of €53 million. Later on we will dig deeper into each of the regions. We have continued to implement our diversification strategy aimed at reducing the exposure of Logista to tobacco, but without giving away the actual business itself, among others given its profitability. Within the strategy we seek the resilience of Logista considering tobacco continues to decline over time. During the period we have secured 2 additional acquisitions. The first one was the acquisition of SGEL Libros in Spain. This acquisition was made by Logista Libros, our 50% subsidy with Grupo Planeta, which focuses our distribution and logistics for the books industry. This strategic transaction consolidates our position as a leading independent book distributor in Spain. SGEL adds relevant editorial client base and the distribution of educational books to our catalog, which we did not distribute before. And secondly, we completed the acquisition of Belgium Parcels Service, a company specializing in the urgent distribution of pharmaceutical products in Belgium and Luxembourg. With this transaction, we expand our business towards Benelux area, while strengthening our position in pharmaceutical distribution and the courier segment. BPS provides Courier Services in Belgium, Luxembourg, the Netherlands, France and Germany, specializing in distribution of sensitive products, mainly controlled temperature pharmaceuticals to hospitals and pharmacies. Since we started our diversification strategy, we have secured so far 6 transactions, which have allowed us to surpass the 50% threshold in economic sales of non-tobacco sources. We continue to work on implementing the synergies identified in each of the different acquisitions, whether it's route combinations or warehouse consolidations, looking to extract the maximum value of the transactions already executed. Furthermore, we continue to seek new transactions, which allow us to secure Logista's growth outside tobacco. Moving on to the next highlight. We would like to give you further details in relation to the credit line agreement with Imperial Brands. During August last year, we signed this renewal in which we increased the maximum amount of the credit line to €3 billion from June 2024 compared to the previous maximum of €2.6 billion. Following this new agreement in February, we signed an addendum to the credit line to partially hedge the interest rate risk for the coming 3 years. In this new agreement, we have split the credit in 2 tranches. The first tranche which covers the first €1 billion lent, will be remunerated at a fixed rate of 2.865% plus, a spread of 75 basis points, totaling 3.615%The second tranche, which covers all amounts lent above €1 billion and up to €3 billion will remain at a variable rate of Euribor 6 months plus a spread of 75 basis points with a 0% floor to the Euribor. With this renewal, we secured an optimal remuneration of our cash position for the coming years, while we partially cover the risk of the interest rates falling during the next 3 years. On ESG-related matters, I would like to highlight some new targets we have set for Logista for the period 2024-2026. In environmental matters, last fiscal year, we surpassed the goal we had set in relation to the numbers of kilometers rolled at Logista Freight, Logista Parcel and Nacex with sustainable fleet. We now renew this target, including also Mosca and Carbo within the scope and extending the target up to 90% of the total kilometers rolled by sustainable fleet. Furthermore, we continue to promote decarbonization in our transportation segment by using renewable fuel as well as increasing the kilometers rolled by electric vehicles, duo-trailers or modal transportation combining sea freight and train transportation with the traditional Long Distance road transportation. In circular economy matters, we have started an initiative to recycle NGP devices by installing recycling boxes in tobacconists and managing all the recycling process. We have started this initiative in Italy and Spain and plan to expand to France also with a target of reaching more than 33,000 retailers involved in this recycling initiative in all 3 countries. In social matters, we believe in promoting talent as this a key driver for our company's and hence we have set a target for 2026 to reaching 95% talent density in critical positions, ensuring our expansion plan. We measure the talent density by analyzing the employees holding critical positions within the company and from those employees where we measure the potential expertise and contribution for the company. Furthermore, we continue to promote our diversity with a new target of reaching 30% of women within upper and middle management by 2026.We continue to promote agreements with foundations and other entities to integrate the help vulnerable groups such as Integra Foundation or the latest agreement signed with the foundations of Real Madrid or La Caixa. Logista, we believe in securing and promoting our employees wellbeing, aiming for a future with zero accidents. In governance matters, we have started to evaluate our suppliers on sustainability matters, and we have set a target of evaluating all suppliers with a procurement volume above €10 million by 2026. This threshold will represent around 80% of the total procurement within Logista. The final element we want to focus on governance matters is reinforcing cybersecurity awareness, providing relevant training for employees on the matter. Now I will give you further details for each of the regions and businesses. Starting with Iberia, our largest market. We have obtained sound results in all major segments, reaching a total over €2.2 billion in revenues, followed by €569 million of economic sales, which represents a year-on-year increase of 4%. Adjusted EBIT recorded €109 million after an increase of also 4%.Looking at each specific segment in the Tobacco and related products, tobacco volumes during the period decreased by 0.9% after a fall of 2.2% in traditional tobacco in Spain, compensated by a strong increase in the distribution of NGP products in Spain and Portugal. During the period, manufacturers increased tobacco retail price by €0.20, €0.25 per package, which has led to an estimated increase in the value of a stock of €19 million compared to the €22.5 million recorded in the same period of last year. This segment recorded 1.1% year-on-year growth in economic sales and a 3% increase, excluding the effect of the profit on inventory. In the Transport segment, economic sales have reached €193 million, recording a 7% year-on-year increase despite having seen a slowdown in the European demand, which has affected the Long Distance results. Furthermore, Long Distance has also been partially affected by the conflict in the Red Sea, which has resulted in a relevant increase in transit time. Lastly, in relation to Long Distance, I would also like to mention the climatology during the period has not favored the production of fruits and vegetables, resulting in less abundant harvest campaigns in Spain. In relation to the rest of the transportation segments, we have seen an increase in deliveries, both in Parcel and Carbo and in Nacex. Recording a healthy single-digit growth to which we should add the new contribution of BPS in the courier segment. In Pharma, we have increased our economic sales by 5% versus the first half of 2023 by increasing services provided to existing clients and seeking new clients within both the pharmacy and hospital world. Our Publications segment recorded a year-on-year increase in economic sales of 7% supported by the full contribution of the agreement signed with RBA during the third quarter of last year. RBA is a leader in collectibles and magazines in Spain and the agreements states Logista as the sole distributor in Spain. Moving on to Italy. Total revenues reached €2.1 billion and economic sales, €190 million, which represents a 5% and 7% increase, respectively versus last year's figure. During the first quarter of 2024 fiscal year, the government increased taxes on tobacco, which led to a price movements from the main manufacturers during February to April. The price movements recorded during the period did not offset fully the negative change of inventory recorded during the first quarter of the year, but it has compensated part of it, closing the period with an estimated negative inventory impact of €1.5 million. The latest increases announced will be registered in the third quarter of the year. This announced increases included prices movements announced by JTI, BAT, and Imperial Brands increases of €0.10 to €0.30 per package depending on the brand and the product. The price increases announced by PMI were recorded within the period and are reflected already in the accounts for the first half. In terms of tobacco volume distributed in Italy, total figure recorded a 1.6% growth after the decline of 1.2% in traditional tobacco volume, which was offset by a very good performance of NGP distribution, particularly in Heets brand. Looking into convenience product distribution segment, we started a new business line linked to the recycling of NGP devices, installing recycling boxes in more than 28,000 tobacconists to date with an expansion plan to continue adding further tobacconists. This initiative was launched in November after an agreement with Italian Tobacconist Federation and the Ministry of Environment and Energy Security. Furthermore, through the acquisition of Gramma Farmaceutici, last year, we started our business line of Pharma Italy. We continue to work on integration of the acquisition, while we stated organic growth through an agreement with a new laboratory. Finally, adjusted EBITDA in Italy reached €54 million after an 8% increase against previous year. In France, revenues recorded an increase of 1.5% up to €1.8 billion, and economic sales recorded a slight decrease of 0.4% year-on-year, up to €111 million. In France, there was also an increase in taxes by the government, just like it in Italy, which was followed by the increase in selling price of tobacco manufacturers in some cases, offsetting exclusively the tax increase of €0.50 a package and in other cases, increasing up to €1 per pack. These changes in taxes and tobacco prices had an estimated positive impact of €7.6 million in the value of our inventories. Looking into tobacco volumes distributed, France continued to show a faster pace in the decrease in volumes distributed than Spain or Italy, with close to 11% less tobacco distributed during the period in comparison to the previous year. In the convenience products, we continue -- record a continuous growth in the economic electronic cards' business, which is a growing business line in the country. We continue to gain tobacconists who include our software and hardware as cash register in the shops. The total adjusted EBIT for the period in France amounted to €31 million, which represents a 6% year-on-year growth versus 2023.After giving you details of each region, we will move into consolidated figures for the year 2023. The consolidated adjusted EBIT increased by 5.4% and to €193 million, supported by a positive performance of the activities, the strong positive impact of the inventory valuation and a contained cost increase despite the general inflationary pressures. Digging deeper into the year-on-year differences, economic sales grew versus last semester by €33 million, backed by the good performance and the businesses in Iberia and Italy. Despite increase in logistic costs, we managed to improve slightly our adjusted EBIT margin versus the first semester of last year by 30 basis points. Finally, reported EBIT reached €168 million, which represents a year-on-year growth of 15%. The main impact of this metric comes from the capital gains resulting on the sale of the warehouse, which we closed in France during the fiscal year 2023 following the strategy to optimize the French operations according to its real needs. Bottom line net profit of the company grew by 27%, thanks to several factors, such as the increase in reported EBIT of €22 million or the increase of financial results by €23 million year-on-year, supported by higher interest rates for the period. The European Central Bank announced the latest rate hike up to 4.5% back in September last year, and up to now it has not yet started an interest rate decrease strategy. The European Central Bank's average rate for the period was 4.5%, to which we should add the 75 basis points spread contemplated in the credit line with Imperial Brands. The average credit line balance during the year was €1.9 billion compared to the €1.89 billion in the first half of 2023. On top of that, the increase in profit before tax translated into a €11 million higher taxes expense despite maintaining the corporate tax stable at 25.6%. We concluded the period with an earnings per share of €1.21 versus €0.95 in the same period of last year. The positive business performance during the period and the consolidation of the acquisitions in the results led to a 5% increase in EBITDA compared to the previous year. Additionally, financial income increased to €52 million compared to the €28 million in the previous year given the current interest rates. On the other hand, restructuring costs paid during the period amounted to €10 million and normalized taxes reached €60 million. The payment of restructuring costs included expenses related to the closure of the French warehouse and booked in our accounting for full fiscal year 2023.I would like to emphasize that during the period, we sold the warehouse close in France last year, which add a further €11 million to the cash flow and which is registered below the normalized cash flow. CapEx for the period amounted to €25 million, and it included, among others, investments made in transportation elements such as installation of security systems in vehicles or new semi-trailers or temperature control systems for vehicles. CapEx for the period also includes IT systems and maintenance, which is necessary for the optimal functioning of the warehouses, such as the optimization of picking systems. Leases recorded for the period of €33 million were above the €28 million recorded last year, mainly due to the full consolidation of the acquisitions. We concluded the first half with a cash position of close to €1.8 billion. To finalize, I will go through the closing remarks and our expected outlook. The results for the period reflects the integration of the acquisitions and the good performance of the underlying business. Our results have been positively affected by the change in inventory value because of the changes in taxes in France and Italy and changes in tobacco prices in all 3 regions. We have also benefited from a high interest rate environment, which has translated into a significant growth in our financial income, thanks to the credit line we have with our major shareholder Imperial Brands. And the diversification strategy continues to progress while maintaining the hurdle of 50% economic sales coming from non-tobacco businesses, which we surpassed last year. Dividend continued to be a priority for Logista. And even though we continue to look for mid- to small-size acquisition in order to grow the company and execute our diversification strategy, we will continue to distribute dividends according to our policy. In terms of outlook, we expect our business to continue registering sustainable growth for the rest of the year, and we reiterate the full year '24 guidance we gave last November of mid-single digit over adjusted EBIT. This expected growth does not consider the profit on inventory recorded in 2023 or 2024. Now we will proceed with the Q&A session. Isabel, please, if you may.
A - Isabel Troya: Thank you, Pedro, for the presentation. We will now continue with the Q&A session by reading and answering the different questions that you have sent throughout the platform. The first question comes from Enrique Parrondo from JB Capital. I have 2, if I may. First one is the evolution of Transport revenues. Could you provide more color on the main drivers behind the small year-on-year decline? And the second one is related to tobacco sales in Italy. I assume you had all the negative impact from the tax increase in 2Q '24, yet you should have a price tailwind this quarter. Any color you could share on timing and impact would be appreciated.
Pedro Losada: Thank you, Enrique, for your question. On your first one, with respect to the evolution of the Transport revenues, this pretty much comes from on the long-haul transportation and sea freight. When you look at the results of Nacex, for example, we increased in expeditions. You know that our focus is more and more growing on B2B segment. But also we have a certain growth in e-commerce, gaining even a little weight and market share. So in that front, we are fine as well as on Parcel and Carbo in terms of temperature control, frozen food, Pharma distribution as it's been done by Parcels going more or less as expected. We see a bit more restrictions in the demand for non-branded products versus branded, so to say, gourmet products, but not very significant. However, the most transportation in this division from eco sales lines comes from the Long Distance business, both road transportation and sea freight. As I mentioned during the call, there's a decrease in the European demand affecting the volume distributed by our long freight business during the period. All the geopolitical conflicts and besides the conflict on the Red Sea has had an impact on transportation sales due to several factors. And the main one being the relevant increase in transit times. So new routes have to divert through South Africa, for example, increasing transit by even 14 days. That has an impact on the demand and even on the -- when you are receiving the final payment with much more delay. And this is an impact that you can see worldwide even with the big forwarded companies like DSV and another one that has reported also some restrictions in that front because of the same reasons. It's also true that there's other elements like the fruits and vegetables campaign this year by the end of calendar year 2023 was not very good due to weather conditions and besides in this final part of the semester also the -- it was a few days less than 2023 due to the Easter here in Spain. Those are the main reasons of the slight decline on Transport revenues. On your second question related to the tax increases in the second quarter or the first quarter on Italy. We have received all this, so to say, the negative impact from tax increases in Italy. In this first half, we have received also the positive impact from some of the price increases from one of the manufacturers, particularly. So we are expecting still to receive more -- a little bit more positive impact on POI in the third quarter of 2024.
Isabel Troya: Thank you, Pedro. And next question is from Francisco Ruiz BNP Paribas. What is the reasonable level of POI for the year taking into account the Italian impact on Q3?
Pedro Losada: Thanks, Francisco, for your question. It's quite difficult to foresee the exact number. I think that is a fair assumption if based on the experience when we compare same level of price increases and the final impact that we have had in the past on POI, we should assume probably that we should be in the same levels than -- around the same levels of 2023 in terms of POI.
Isabel Troya: Thank you, Pedro. Our next question comes from Pablo Cuadrado of Kepler Cheuvreux. He has the first question relating to POI on Q3, which I believe we've just answered. Additionally, shall we assume further gains from price increases in Spain, Italy or France? Next one is, can you maybe comment on the M&A pipeline opportunities that you're looking at the moment? Are they focused on Pharma distribution, on Transport segment, in which markets?And the last question is, can you detail which portion of the second tranche of the credit line is currently hedged for June '24 to June '25 period? What is the strategy here? Which percentage of the second tranche will you aim to hedge?
Pedro Losada: Thank you, Pablo. Let me go with your first question related to further price increases. As you recall, this is not under our control. These are the manufacturers, the one deciding when and how they increase the prices on their products. We make a bit of history. We have this year price increases. Last year, we have also price increases. Before that, the last one, I think, for example, in Spain was in 2021 and a couple of years -- even earlier before we have another one. So the reality is that we have no idea on the evolution of the price, and we shouldn't make any assumption on that. With respect to M&A pipeline opportunities, we keep on working hardly on finding the right opportunities. You are right on our focus on Pharma distribution and in the transportation segment. Remember that we have said many times that when we look, for example, in Spain to Logista Pharma an increase our growth in Logista Pharma in Spain or Nacex from an inorganic perspective is much more complicated than outside. So when we are looking to Pharma and courier, that's why we used to look outside of Spain. We can find some niche opportunities in Spain, but our business model makes this very difficult in our own country. That's why we are looking further our borders like you can see the transactions that we have closed like Speedlink or BPS and as well as the pharma distributor in Italy. So in that front, we should be following the same steps that we have done during the last couple of years. But we are also looking for other transportation opportunities, particularly in the temperature control or frozen products transportation, high-value products trying to get advantage of our capabilities and to differentiate ourselves from other competitors or other areas where we are focused and the geographies more or less remains the same. So Spain, Portugal, France, Italy, Benelux and sometimes we can also see other opportunities in other European countries, but those are the main ones. In your third question related to the credit line, let me probably clarify and recall what we've got. So from June 2024, we reached an agreement with Imperial to increase the credit line from €2.6 billion to €3 billion. That's number one. Then we changed the reference rate from ECB reference rate to Euribor 6 months, but maintaining the 75 basis points margin. And then afterwards, what we agree with Imperial is to hedge the interest rate risk. And we decided to hedge partially. So basically, the number is around 50% of the average cash that we've got is already hedged with this new agreement. So to your question, not only for June 2024 to June 2025, it's also until June 2027, where we, as of today, have hedged 50% of our exposure and leaving non-hedge the remaining part of the loan.
Isabel Troya: We have another question from Enrique Parrondo, JB Capital.Another question, if I may. Considering the increased penetration of NGP in countries such as Italy, especially and Spain, how big is the economic trends, the recycling opportunity? What incremental benefit could imply over economic units?
Pedro Losada: Okay. Thank you, Enrique. Yes, it's true that in Italy is probably the main market for NGP products. We have said several times that probably we should be in the area of around 20% of the sales in the country comes from these new generation product. In terms of the recycling opportunity, we just started. Probably it's too soon to understand which is actually the success of this exercise that we are doing with many tobacconists as well as with the manufacturers. I think that is going to be successful, but it's a little bit premature to give some numbers.And to the rest of your question, yes, same thing. Be with us, we just spent like several months on -- with this opportunity, we will give you much more details by year-end.
Isabel Troya: One question from Francisco Ruiz from BNP. Could you give us more details on the exposure to the Red Sea conflict?
Pedro Losada: Okay. Thank you. Well, it's difficult to quantify exactly what is the impact on a percentage coming only from the Red sea conflict. In terms of economic sales, probably around and I'm talking about Mosca, which is the one doing this business line, it's a rough number to say probably that around 50% comes from maritime business and another 50% of this business comes from international one. And out of this international one, not all of the routes goes through the Red Sea. So probably it's a limited impact, probably no more than 15%, 20% of our P&L.
Isabel Troya: Next question from Andrea Fernandez of CaixaBank. Despite the slowdown in long-haul transportation in the second quarter, do you expect some recovery in the second semester?
Pedro Losada: Yes. Thank you, Andrea. This is a good question. I think that it's complicated. We don't see -- I mean, it's complicated to understand whether we are going to have better conditions from a geopolitical perspective and even countries like the Red Sea going forward for the rest part of the year. What is this -- remember that is in combination with an excess capacity in the market, affecting particularly the long-haul road transportation. So this is probably a tightening time for the business. What we can do is trying to control on the cost side, try to make management decisions that allow us to maintain the level of margins and growth that we are having. We are not pessimistic during the rest of the year. But again, it's too premature to understand whether these contracts that are really affecting directly, this business are going to end during the second half of the year.
Isabel Troya: Thank you, Pedro. That was the last question we received. Thank you, everybody, for joining us on our first half results presentation. And we're available at Investor Relations if you need anything. Thank you. Goodbye.